Operator: Greetings. Welcome to the Align Third Quarter 2025 Earnings Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Shirley Stacy, with Align Technology. You may begin.
Shirley Stacy: Good afternoon, and thank you for joining us. I'm Shirley Stacy, Vice President of Corporate Communications and Investor Relations. Joining me for today's call is Joe Hogan, President and CEO; and John Morici, CFO. We issued third quarter 2025 financial results today via Business Wire, which is available on our investor website at investor.aligntech.com. Today's conference call is being audio webcast and will be archived on our website for approximately one month. As a reminder, the information provided and discussed today will include forward-looking statements, including statements about Align's future events and product outlook. These forward-looking statements are only predictions and involve risks and uncertainties that are described in more detail in our most recent periodic reports filed with the Securities and Exchange Commission available on our website and at sec.gov. Actual results may vary significantly and Align expressly assumes no obligation to update any forward-looking statements. We have posted historical financial statements with corresponding reconciliations, including our GAAP to non-GAAP reconciliation, if applicable, and our third quarter 2025 conference call slides on our website under Quarterly Results. Please refer to these files for more detailed information. With that, I'll turn the call over to Align Technology's President and CEO, Joe Hogan. Joe?
Joseph Hogan: Thanks, Shirley. Good afternoon, and thanks for joining us today. On our call today, I'll provide an overview of our third quarter results and discuss performance from our two operating segments, Systems and Services and Clear Aligners. John will provide more detail on our Q3 financial performance and comment on our views for the remainder of the year. Following that, I'll come back and summarize a few key points and open the call to questions. I'm pleased to report third quarter revenues, Clear Aligner volumes and non-GAAP operating margins are all above our outlook. Our Q3 results reflect year-over-year growth in Clear Aligner volumes, driven primarily by EMEA and APAC and Latin American regions as well as strong sequential growth from APAC and Latin American regions, driven primarily by teens and kids category. Our Q3 Systems and Services revenues were down year-over-year and sequentially as expected, given Q3 capital equipment seasonality. Q3 non-GAAP operating margin of 23.9% was above our outlook of approximately 22%. While activity in the orthodontic and dental markets remains mixed, especially in North America, the initiatives we're taking to drive consumer demand and patient conversion, including working with our DSO partners, are delivering results and we continue to focus on execution of these go-to-market programs. In addition to the breadth and depth of our global business and product portfolio and consumer preferences for the Align brand are unique advantages that provide balance in a dynamic global market. In fact, the year-over-year Clear Aligner volume growth rate improved from Q2 to Q3 for our top 10 country markets except for Canada. For Q3, total revenues of $996 million increased 1.8% year-over-year and decreased 1.7% sequentially. Q3 Clear Aligner revenues of $806 million increased 2.4% year-over-year and were up slightly sequentially. Q3 Clear Aligner volume of 648,000 cases increased roughly 5% year-over-year and was up slightly sequentially. Q3 Imaging Systems and CAD/CAM services revenues of $190 million decreased slightly year-over-year and was down 8.6% sequentially. For Q3, Systems and Services revenues decreased sequentially as expected primarily due to seasonality. On a year-over-year basis, Q3 Systems and Services revenues decreased slightly, primarily due to lower volumes, offset somewhat by increased scanner services and exocad CAD/CAM sales. Q3 revenues also reflect strong growth from the iTero scanner leases, an important option for doctors that enables greater access to our advanced digital technology. At the end of Q3, the installation of active iTero systems, which includes sales and leasing, continues to expand, and there are over 120,000 units globally, a 12% year-over-year increase. From a regional perspective, Q3 scanner sales increased sequentially in North America among GPs as well in Latin America and APAC regions. On a year-over-year basis, Q3 scanner sales increased in EMEA and Latin American regions. The iTero Lumina with iTero multi-direct capture technology sets a new standard with effortless scanning and superior visualizations helping doctors transition to our advanced imaging systems. For Q3, iTero Lumina represented over 90% of our full system units, and we're still driving adoption and utilization through wand upgrades as well as new full systems installations. Today, we announced a series of new product innovations for iTero Digital Solutions, a comprehensive ecosystem that includes intraoral scanners, integrated software tools designed to transform dental consultations into a modern multimodal oral health assessment that helps doctors and their teams deliver exceptional chairside experiences supporting Invisalign treatment conversion. These new capabilities span key practice workflows that underline the Align digital workflow. From AI-enabled X-ray assessment to dynamic personalized visualization and patient engagement tools at chairside to expand compatibility with 3D printers and milling machines. These new innovations simplify workflows, improve doctor-to-patient communications, increase patient acceptance and drive practice growth. More information on these innovations is available in today's press release and our webcast slides. For exocad, Q3 revenues increased sequentially and year-over-year. During Q3, we began piloting exocad ART in several countries in Europe. And based on the initial learnings, we're expecting to expand to more countries in 2026. Exocad ART stands for Advanced Restorative Treatment, a module with exocad Dental CAD software that bridges orthodontics and restorative dentistry. It enables orthodontists, dentists and dental labs to integrate tooth alignment with restorative procedures and deliver better function, less invasive restorations and longer-lasting and aesthetically superior treatment outcomes. Exocad ART further extends the value of the Align Digital Platform with comprehensive digital workflows and integrated solutions from Invisalign, iTero and exocad. For Clear Aligners, Q3 worldwide volumes were up 0.5% sequentially and up 4.9% year-over-year. For Q3, 88,000 doctors globally submitted Invisalign cases, an all-time record, driven primarily by the GP channel. In addition, Q3 reflects a new all-time high for the number of doctors submitting Invisalign case starts for teens and kids. On a sequential basis, Q3 Clear Aligner volumes reflect strength from the international adult and teen patients as well as North American DSO adult patients, partially offset by the North American retail doctor channel. Year-over-year, Q3 Clear Aligner volume reflects strong growth across the APAC and EMEA regions, offset somewhat by North America. Q3 Clear Aligner volumes increased year-over-year for both orthodontists and GPs, driven by growth across adults, teens and kids and continued strength by DSOs. From a product perspective, for Q3, we had strong year-over-year growth from Invisalign First, DSP touch-up cases, Invisalign Palatal Expander, retention including DSP as well as continued mix shift from non-comprehensive Clear Aligner products. For the Americas, Q3 Clear Aligner volumes were down year-over-year, primarily due to North America, partially offset by continued growth in Latin America. Despite lower volumes, increased adoption of several products, including Invisalign First for teens and kids, Invisalign DSP touch-up cases, including retention and the Invisalign Palatal Expander system continued. We also saw double-digit growth year-over-year from North America DSOs. Given the economies of scales and more effective optimal cost structures inherent in their business model, we anticipate that our DSO partners will continue to grow their Invisalign business and are one of the best examples of how to incorporate our digital technology and workflows to accelerate practice growth. To offset a financial barrier for patients interested in Invisalign treatment, Align and Healthcare Finance Direct, or HFD, are partnering to increase the affordability of treatment. HFD is a preferred patient financing partner and provides our Invisalign trained doctors with greater options to support their patients and enhance their practices. Among DSOs and doctors enrolled in HFD, enrollment is growing, and we have noticed an incremental lift in Invisalign treatment that we expect will continue. In the EMEA region, Q3 Clear Aligner volumes grew double digits year-over-year, driven by increased submitters and utilization in the orthodontic channel with strength in teens, kids and adult categories. This performance reflects continued adoption of non-comprehensive products, including moderate DSP touch-up cases including retention and Invisalign Palatal expander as well as Invisalign Comprehensive Three and Three and Invisalign First within our comprehensive portfolio. During the quarter, we saw strong double-digit DSO growth in EMEA on a year-over-year basis. For the APAC region, Q3 Clear Aligner volume grew double digit year-over-year, reflecting increased submitters and utilization across both the GP and orthodontics channel, across teens and growing kids, led by China. Invisalign First continues to contribute to year-over-year growth, where the growing patient portfolio provides a significant opportunity in the region with some of the highest rates of complex malocclusion. DSO performance has also -- is also up double digits on a year-over-year basis, led by China and Japan. In addition, Q3 strong retention performance on a year-over-year basis reflects increasing submitters and utilization across both the GP and orthodontist channel. In Q3, over 256,000 teams and growing kids started treatment with Invisalign Clear Aligners. This number represents a 14.7% sequential increase, primarily due to strength in APAC, North America and Latin America, partially offset by softer performance in EMEA due to seasonality. On a year-over-year basis, case starts increased 8.3%, driven by growth in APAC, EMEA and Latin America, partially offset by North America. From a product standpoint, Invisalign First and Invisalign Palatal expander, or IPE, continued to drive growth year-over-year across all regions. During the quarter, we achieved a record number of teen and kids cases shipped in the quarter, representing a record 40% mix of total Clear Aligner cases shipped. For Q3, the number of doctors submitting cases starts for teens and kids was up 3.8% year-over-year, led by continued strength from doctors treating young kids or growing patients with Invisalign First aligners and Invisalign Palatal expander. During Q3, we continued to roll out the Invisalign Palatal Expander system and Invisalign system with mandibular advancement featuring occlusal blocks or what we call MAOB. IPE offers a more hygienic and comfortable alternative to traditional metal expanders that has proven clinically effective at achieving the expansion doctors want for their patients. MAOB is designed to create Class II skeletal and dental malocclusions in growing patients ages 10 to 16 by simultaneously advancing the mandible and aligning the teeth. By integrating solid occlusal blocks into Clear Aligners, MAOB offers greater durability and vertical opening for early mandibular advancement, precision wings that guide the lower jaw forward and SmartTrack material and SmartForce features for predictable tooth movement. Today announced ClinCheck Live Plan. It's a new feature in Invisalign digital treatment planning that automates the generation of initial doctor-ready treatment plans in 15 minutes. This advancement represents a major technical milestone for the Align Digital platform that can reduce the Invisalign treatment planning cycle from days to minutes. ClinCheck Live Plan is built on Align's proprietary data and algorithms derived from decades of research and development and the experience of doctors who have treated more than 21 million Invisalign patients worldwide. With ClinCheck Live Plan, doctors have the option to treatment plan in the moment and can receive a fully customized initial ClinCheck treatment plan in about 15 minutes after submitting an eligible case with Flex Rx. Doctors then have the option to review the proposed tooth movements and approve the case while the patient is still in the office. This can enable the doctor to receive and approve the treatment plan faster, which can lead to the patients starting Invisalign faster, ultimately increasing the office efficiency and improving the patient experience. Over the past few years, Align has introduced a range of new treatment planning tools to enhance consistency, doctor control, and speed and treatment planning. I often refer to these innovations as touchless ClinCheck or ClinCheck in minutes to emphasize the potential for the software to totally transform the treatment planning experience for doctors and their patients. To that end, we continue to make great progress in automation with machine learning and AI-powered technologies that are the foundation of our next-generation treatment planning offerings. I'm excited by our continued progress and immeasurable impact we are beginning to see. The use of Invisalign Flex Rx has doubled every year. And to date, over 1 million Invisalign cases have been submitted through Flex Rx for personalized treatment plans. In addition, we now have over 100 Invisalign Palatal Expander clinical cases published in the Align Global Gallery, both unprecedented milestones for new product introductions in the orthodontic market. With that, I'll turn the call over to John.
John Morici: Thanks, Joe. Now for our Q3 financial results. Total revenues for the third quarter were $995.7 million, down 1.7% from the prior quarter and up 1.8% from the corresponding quarter a year ago. On a constant currency basis, Q3 revenues were favorably impacted by approximately $11.7 million or approximately 1.2% sequentially and were favorably impacted by approximately $15.6 million year-over-year or approximately 1.6%. Q3 Clear Aligner revenues were $805.8 million, slightly up primarily due to favorable foreign exchange and a price increase in the U.K. on August 1, partially offset by product mix shift to lower prices -- lower-priced countries and products. Favorable foreign exchange impacted Q3 Clear Aligner revenues by approximately $9.8 million or approximately 1.2% sequentially. Q3 Clear Aligner average per case shipment price was $1,245, a $5 decrease on a sequential basis, primarily due to slightly more pronounced product mix shift to lower-priced countries and products, partially offset by favorable foreign exchange and a price increase in the U.K. On a like-for-like basis, Q3 Clear Aligner ASPs for the U.S. and EMEA were up sequentially. On a year-over-year basis, Q3 Clear Aligner revenues were up 2.4%, primarily from higher volume, price increases and favorable foreign exchange, lower net deferrals, partially offset by higher discounts and product mix shift to lower-priced countries and products. Favorable foreign exchange impacted Q3 Clear Aligner revenues by approximately $13 million or approximately 1.6% year-over-year. Q3 Clear Aligner average per case shipment price was $1,245, down $30 on a year-over-year basis, primarily due to discounts and product mix shift to lower-priced countries and products, partially offset by price increases and favorable foreign exchange. Clear Aligner deferred revenues on the balance sheet as of September 30, 2025, decreased $19.5 million or 1.6% sequentially and decreased $78.7 million or 6.2% year-over-year and will be recognized as additional aligners are shipped under each sales contract. Q3 Systems and Services revenues of $189.9 million were down 8.6% sequentially, primarily due to lower scanner wand sales and scanner system sales, partially offset by favorable foreign exchange and higher nonsystem sales. Q3 Systems and Services revenues were down 0.6% year-over-year, primarily due to lower scanner system sales, partially offset by higher scanner wand sales, higher nonsystem sales and favorable foreign exchange. foreign exchange favorably impacted Q3 Systems and Services revenues by approximately $1.8 million sequentially or approximately 1%. On a year-over-year basis, Systems and Services revenues were favorably impacted by foreign exchange of approximately $2.6 million or approximately 1.4%. Systems and services deferred revenues decreased $7.9 million or 4% sequentially and decreased $30.9 million or 13.9% year-over-year, due in part to shorter duration of service contracts selected by customers on initial scanner system purchases. Moving on to gross margin. Third quarter overall gross margin was 64.2%, down 5.7 points sequentially and down 5.5 points year-over-year, primarily due to restructuring and other noncash charges, impairment on assets held for sale, depreciation expense on assets to be disposed of other than by sale and excess inventory write-off, partially offset by operational efficiencies. Overall gross margin was favorably impacted by foreign exchange of 0.4 points sequentially and 0.6 points on a year-over-year basis. On a non-GAAP basis, which excludes the impact of the above-mentioned restructuring and other noncash charges, gross margin for the third quarter was 70.4%, down 0.1 points sequentially and flat year-over-year. Clear Aligner gross margin for the third quarter was 64.9%, down 5.2 points sequentially, primarily due to restructuring and other noncash charges, Foreign exchange favorably impacted Clear Aligner gross margin by approximately 0.4 points sequentially. Clear Aligner gross margin for the third quarter was down 5.4 points year-over-year, primarily due to the restructuring and other noncash charges, partially offset by operational efficiencies. Foreign exchange favorably impacted Clear Aligner gross margin by approximately 0.6 points year-over-year. Systems and Services gross margin for the third quarter was 61.3%, down 8.2 points sequentially, primarily due to excess inventory write-off. Foreign exchange favorably impacted the Systems and Services gross margin by approximately 0.4 points sequentially. Systems and Services gross margin for the third quarter was down 6.2 points year-over-year, primarily due to excess inventory write-off. Foreign exchange favorably impacted the Systems and Services gross margin by approximately 0.5 points year-over-year. Q3 operating expenses were $542.9 million, down 0.4% sequentially and up 4.5% year-over-year. On a sequential basis, operating expenses were $2.2 million lower, primarily due to lower consumer marketing spend, partially offset by restructuring costs. Year-over-year operating expenses increased $23.4 million, primarily due to restructuring costs and partially offset by lower consumer marketing spend. On a non-GAAP basis, excluding stock-based compensation, restructuring and other charges and amortization of acquired intangibles related to certain acquisitions, operating expenses were $463.3 million, down 6.9% sequentially and 2% year-over-year. Our third quarter operating income of $96.3 million resulted in an operating margin of 9.7%, down approximately 6.4 points sequentially and down approximately 6.9 points year-over-year due to Q3 restructuring and other charges of $36.3 million, primarily related to post-employment benefits and other noncash items, including the impairment of assets held for sale, depreciation expense on assets to be disposed of other than by sale and impairment loss on inventory for an aggregate of $88.3 million. Operating margin was favorably impacted from foreign exchange by approximately 0.4 points sequentially and 0.5 points year-over-year. On a non-GAAP basis, which excludes stock-based compensation, restructuring and other charges, impairments on assets held for sale, impairment loss on inventory, depreciation expense on assets disposed of other than sale and amortization of intangibles related to certain acquisitions, operating margin for the third quarter was 23.9%, up 2.6 points sequentially and up 1.8 points year-over-year. Interest and other income and expense net for the third quarter was an expense of $1.6 million compared to an income of $10.5 million in Q2 '25, primarily due to foreign exchange fluctuations on open assets and liabilities. On a year-over-year basis, Q3 interest and other income and expense was unfavorable compared to an income of $3.6 million in Q3 2024, primarily driven by unfavorable foreign exchange movements and lower interest income. The GAAP effective tax rate for the third quarter was 40.1% compared to 28.2% in the second quarter and 30.1% in the quarter of the prior year. The third quarter GAAP effective tax rate was higher than the second quarter effective tax rate and the third quarter effective tax rate of the prior year, primarily due to the change in our jurisdictional mix of income due to restructuring, partially offset by lower U.S. minimum tax on foreign earnings and changes in the newly enacted tax law. On a non-GAAP basis, our effective tax rate in the third quarter was 20%, which reflects our long-term projected tax rate. Third quarter net income per share was $0.78, down $0.93 sequentially and down $0.77 compared to the prior year. Our EPS was favorably impacted by $0.02 on a sequential basis and $0.03 on a year-over-year basis due to foreign exchange. On a non-GAAP basis, net income per diluted share was $2.61 for the third quarter, up $0.11 sequentially and up $0.26 year-over-year. Moving on to the balance sheet. As of September 30, 2025, cash and cash equivalents were $1.0046 billion, up sequentially $103.4 million and down $37.3 million year-over-year. Of the $1.004.6 billion balance, $190.8 million was held in the U.S. and $813.8 million was held by our international entities. During Q3, we repurchased approximately 0.5 million shares of our common stock at an average share price of $136.77. These repurchases were made pursuant to the $200 million open market repurchase plan announced on August 5, 2025, which we expect will be completed in January of 2026. As of September 30, 2025, $928.4 million remains available for repurchase of our common stock under our previously announced April 2025 repurchase program. Q3 accounts receivable balance was $1.0994 billion down sequentially. Our overall days sales outstanding was 101 days, up approximately 2 days sequentially and up approximately 8 days as compared to Q3 2024 and primarily reflects flexible payment terms that are part of our ongoing efforts to support Invisalign practices. Cash flow from operations for the third quarter was $188.7 million. Capital expenditures for the third quarter were $19.8 million, primarily related to investments in our manufacturing capacity and facilities. Free cash flow, defined as cash flow from operations minus capital expenditures amounted to $169 million. I'd like to provide the following remarks regarding U.K. VAT and U.S. tariffs as of September 30. As previously disclosed in our Q3 earnings release and conference call on July 30, 2025, we stopped charging VAT to impacted customers in the U.K. As of August 1, 2025, our invoices no longer include the U.K. VAT rate of 20% for all Invisalign treatment packages that were ClinCheck approved as of August 1, 2025, and for refinement and replacement aligners, Vivera retainers, PVS processing fees and additional aligners placed on or after August 1, 2025. At the same time, we simultaneously adjusted prices for our Clear Aligners and retainers to keep the overall price consistent. Currently, we do not expect a material change to our result of operations as a consequence of the latest U.S. tariff actions, and we refer you to our Q1 2025 press release and earnings materials as well as our Q2 2025 webcast slides which includes specifics regarding potential tariffs -- impacts of U.S. tariffs. Assuming no circumstances occur beyond our control, such as foreign exchange, macroeconomic conditions and changes to our current applicable duties, including tariffs and other fees that could impact our business, we provide the following business outlook for Q4: We expect Q4 2025 worldwide revenues to be in the range of $1.025 billion to $1.045 billion, up sequentially from Q3 of 2025. We expect Q4 Clear Aligner volume and Clear Aligner average selling price to be up sequentially from favorable geographic mix. We expect Q4 2025 Systems and Services revenues to be up sequentially, consistent with typical Q4 seasonality. We expect Q4 2025 worldwide GAAP gross margins to be 65.5% to 66%, up sequentially from higher revenue, lower restructuring and other charges, noncash items, such as impairment loss on assets held for sale and impairment loss on inventory, partially offset by higher depreciation on assets disposed of other than by sale. We expect non-GAAP gross margin to be approximately 71%. We expect our Q4 2025 GAAP operating margin to be 15.3% to 15.8% up sequentially, primarily from lower restructuring and other charges, noncash items such as impairment loss on assets held for sale and impairment loss on inventory, partially offset by higher depreciation on assets disposed of other than by sale. We expect Q4 non-GAAP operating margin to be approximately 26%. For fiscal 2025, we expect 2025 Clear Aligner volume growth to be mid-single digits and revenue growth to be flat to slightly up from 2024, assuming foreign exchange at current spot rates. We expect fiscal 2025 GAAP operating margin to be around 13.6% to 13.8%, down year-over-year due to higher restructuring and other charges and the incurrence of noncash charges expected to be approximately $145 million to $155 million primarily for the impairment loss on assets held for sale, depreciation on assets disposed of other than by sale and impairment loss on inventory, partially offset by lower legal settlement loss. Most of the onetime charges will be noncash with the expected cash outlay for 2025 estimated to be around $45 million. We expect the 2025 non-GAAP operating margin to be slightly above 22.5%. We expect our investments in capital expenditures for fiscal 2025 to be approximately $100 million. Capital expenditures primarily relate to technology upgrades. We are nearing completion of the restructuring actions that are intended to sharpen operational focus, reduce ongoing costs and enhance capital efficiency. For fiscal 2026, we expect these restructuring actions as well as other initiatives to improve our GAAP and non-GAAP operating margin by at least 100 basis points year-over-year. With that, I'll turn it back over to Joe for final comments. Joe?
Joseph Hogan: Thanks, John. In summary, I'm pleased with our third quarter results and encouraged by the sequential and year-over-year growth in the Clear Aligner segment as well as the continued expansion of our digital scanning solutions and footprint. While the North American retail doctor channel remains mixed, we continue to see strength in our other key geographies and areas of our portfolio, including teens and kids, and digital workflow innovation as demonstrated by continued strong double-digit year-over-year growth by our DSOs. Our investment in AI-powered treatment planning software, direct 3D printing of aligners and next-generation iTero Lumina scanning technology are key to helping doctors deliver better outcomes more effectively and efficiently, while enhancing the patient experience. Looking ahead, we intend to remain flexible in navigating headwinds in the U.S. dental market and are committed to supporting our doctor customers with localized marketing, education and clinical support across all regions. We're making good progress against our strategic initiatives to drive long-term growth across our business, and we're excited about the opportunities to further expand our reach, deepen engagement with consumers and providers and deliver value to our shareholders. Before we wrap up, I want to take a moment to express my sincere gratitude to the doctors around the world who continue to trust the Align team and our technology to transform smiles and change lives. Your partnership and commitment to patient care inspire us every day. We appreciate your continued support and confidence. I also want to thank our employees who continue to demonstrate agility, innovation and resilience in everything they do to deliver and extend our leadership in digital orthodontics and restorative dentistry. With that, I thank you for your time today, and I'll turn it over to the operator. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Elizabeth Anderson at Evercore ISI.
Elizabeth Anderson: Congrats on a nice quarter. It was really nice to see the acceleration in cases in the quarter. I was wondering if you would mind commenting on any early 4Q comments -- color that you've seen in terms of the end market. And also, just if you could comment a little bit further about the new ClinCheck launch and what you think the expected impact on the gross margins will be?
Joseph Hogan: Yes. Elizabeth, look, obviously, we felt good about third quarter overall. We are just looking forward to moving forward. The technology we're talking about incorporating overall, it is a comprehensive type of solution we've been developing over a series of years. I can see it -- two critical targets here is one to make it much more efficient for our doctors to be able to convert cases and understand the difficulty of cases and get the proper type of a structure for that case. And secondly, it helps us from an efficiency standpoint also in the sense of we can take our time with customers on other things that are maybe more difficult. So it's great to see these things coming together. It's not just a productivity tool for those doctors also. It also helps them in their communications. We talked about the 15-minute, the live update piece. As you can be able to address that patient in that chair in 15 minutes, you have a much better chance of closing the case because you know what the extent of the case will be and how long it will be. So we're excited about that, Elizabeth.
Operator: Our next question comes from Jon Block at Stifel.
Jonathan Block: Look, not many blemishes, but I'll try to find one. So ASP was supposed to be up a smidge Q-over-Q. It was down a bit. John, I think I heard you right, you mentioned country mix. So I think like-for-like was still maybe what you expected. But for 4Q, you do expect it to be up sequentially. Just help me out with that. So I'm guessing a full quarter of that probably helps with that. What else gets it up sequentially? And then just more big picture, Joe, for you, if you want to comment on the pricing environment and really any thoughts on the timing about the potential rollout of what we're at least referring to as no refinement plan? And then I'll ask a follow-up.
John Morici: Yes, Jon, I'll take the first one on the ASP. It was really just the growth that we saw in some of the markets like China that has a lower ASP compared to Europe. So the opposite of that happened in Q4. Europe becomes bigger as a percentage of our total. They come out of their holiday season and that shows up in Q4 and China as a percentage comes down in Q4. So you really -- those 2 geographies drive a fair amount of ASP impact.
Joseph Hogan: And Jon, your bigger picture on the no refinement plan. You can see we've been evolving on that route for a while, Jon. I mean, obviously, we went from a 5 x 5 to a 3 x 3, our moderate products and those kinds of things normally didn't have any more than one aligner associated with it. So I look at this as not like a phase transformation. I look at this as a continued evolution in the sense of serving our doctors the way they want to be served. And you think about it, too, Jon. I think what we've done is developed the technology over the years in a sense that doctors understand these malocclusions. They don't need 5 additional aligners in most cases to be able to address things and they want that optionality to say, "I know this case. I think I can get it done without refinements," or "I can buy one if I do get in trouble," or "I'll buy an insurance policy because I'm not sure." So it's just -- it's an improvement in technology, but it's also an improvement in confidence in the sense that we have in developing our cases and the doctors do, too.
Jonathan Block: Okay. That was helpful. And I'll pivot for the second one. Maybe this falls to both of you guys again. You've certainly given some 2026 margin thoughts and the 100 bps is good to see. Just any high-level discussion on the top line next year. It seems like, Joe, like half the Clear Aligner business is growing double digit. The other half is flat to down, being North America. Systems and Services, at least in my view, is maybe a little bit longer in the tooth regarding the Lumina product cycle. John, you talked about ASPs being down low single digits. And when I roll that up, I land up LSD when you think about all those moving parts, but anything directionally for us to think about to sort of pair with the margin commentary?
Joseph Hogan: Jon, I'll take a shot at that, but that's a big question, right? So I mean, obviously, we gave you a fourth quarter, and we feel good about those projections that we have in the fourth quarter overall. Obviously, if you look at -- in my script, Jon, we talked about third quarter versus second quarter, we had 9 of our top 10 countries were up. And so we're seeing good robust growth. Our biggest issue is actually North America retail. And obviously, in North America DSO, we talk about it a lot. That growth is over 20% in some areas. And so we look to help us solidify that as we go into the fourth quarter. We think we'll continue with a strong global type of presence that we have. Right now, I'm not making any predictions for 2026.
Operator: Our next question comes from Michael Cherny at Leerink Partners.
Michael Cherny: Maybe, Joe, if I can just follow up on that last comment you made, at least in terms of the markets in North America. As you think about that retail customer, I'm trying to wrap in a lot of comments we already had, but what do you think is the biggest gating factor do you think gets them back to some level of, I don't want to call it, normalized demand, new normal demand, whatever it might be? And what can Align proactively do relative to waiting out the macro in order to help them get there?
Joseph Hogan: Michael, it's a good question. I'd say if you break down, again, North America retail side, Canada, we've had more pressure in Canada than I reported than we had in the United States. But overall, I think we continue to push hard on the DSO side because we know that, that works both on the GP side and on orthodontic side. Secondly is we feel like moving downstream from a marketing standpoint, getting close to our customers, advertising more around ZIP codes and all that can direct those patients to those doctors because I still lean into -- these are economic issues that I think that the retail customers feel more than what I call the business-oriented DSOs that we have out there. And as much as we can leverage our brand and the strength of our portfolio to help to drive that, I think it'll help to drive the marketplace, too. I mean, ultimately, what addresses this, I think, is a much more confident U.S. consumer, but we can't wait for that. So we're going to use our brand. We're going to use our technology. You'll see us use our field force to get closer to our retail customers and doctors and try to help them out as much as we possibly can.
Operator: Our next question comes from Jeff Johnson at Baird.
Jeffrey Johnson: Joe, just -- I promised you when I met you or when I saw you last time in Vegas that I was going to try to maybe get you to give us a little more detail by geography than you do on these high-level comments. So on EMEA and APAC, I think I heard you say up double digits year-over-year in both markets on Clear Aligner volumes. Just one, want to confirm that was the case on a year-over-year basis; and two, are we talking kind of 10%, 11% there? Just trying to kind of use those numbers to back into how much if North America would have been down a few points or down more than kind of that low single digits, more in the mid-single-digit range from a North American case volume standpoint.
Joseph Hogan: Jeff, overall, to confirm that double-digit year-over-year growth that we talked about. Again, it was widespread. We talked about our top 10 countries. India being one that's growing well, Turkey in different areas, really strong performance in EMEA overall. So Jeff, I'm not ready to give any kind of broad specific numbers on the double-digit piece, but it's robust in a lot of different parts of the world, which gives us a lot of confidence in the sense that we can keep that kind of momentum, but also to make sure from a resource standpoint and a focus standpoint, we start to move our retail doctors in the United States more towards positive growth.
Jeffrey Johnson: Yes. All right. And then just on the U.S. side, I mean, obviously, that's where the biggest headwind remains. You talked last quarter about kind of the gross receipts looking good, but then the case is not closing. Any change in behavior? Did any of that clear itself up a little bit? Did it get a little worse? And I think more importantly, on that front, just as 3Q itself played out in that retail channel, just again any kind of incremental improvements or degradations throughout the period. We did see consumer confidence come off in September and then again in October. So would just love to hear kind of what the exit rate might have looked like on 3Q as we head into 4Q here as well from a U.S. standpoint.
Joseph Hogan: Yes. Jeff, I'd say we did dig down into gross receipts and CCAs last quarter to try to explain what had occurred. I can tell you there's no primary change or any kind of material change in that data at all. It differs all over the world. We watch each one of those countries. There's really nothing to report on in that sense. I think what you just mentioned at the end of your question is obviously, you're watching the North American marketplace pretty closely and what you see consumer confidence and different things. But -- and again, nothing has really changed in the sense of how -- from an overall sales standpoint, how our DSOs continue to grow and how our retail accounts continue to be challenged. I guess I'd overemphasized. It didn't get any worse. It's consistent.
Operator: Our next question comes from Brandon Vazquez at William Blair.
Brandon Vazquez: Can I first start on the orthodontic side or more specifically, the teens? That seemed to be a nice highlight of the quarter. Last quarter, we were talking about this kind of shift back towards wires and brackets in kind of difficult macro times. I didn't hear any of that this quarter encouragingly. So maybe just spend a minute on teens, what was driving kind of the growth there? And do you think we're moving past this kind of shift back to wires and brackets again and we're a little bit back on the offensive there?
Joseph Hogan: Yes. I think overall, when you look at that teen increase, I mean, it was pretty phenomenal when you look at the growth. Remember, it's a big China growth period for us from a teen standpoint. That's their season. And we saw really substantial growth there, which is tremendous. What's helping to drive the growth also are our new products like IPE and mandibular advancement with occlusal blocks. It just gives us more leverage to be able to start those patients earlier. And often, as we mentioned before, Brandon, Invisalign First, goes along with those products one way or another to be able to address different types of expansions or different kinds of malocclusion. So what I like about the teens is it had good breadth to it all over the world. We saw the same thing in Europe also and in some of the emerging economies that we're doing. Again, I think it's the penetration that we're getting in those areas, but also our technology, the breadth of our technology, particularly for early interventions in kids.
Brandon Vazquez: Okay. And maybe as a follow-up here, switching gears a little bit. The -- one of the common themes that I've been hearing among many in the dental space, including yourselves, is that DSOs seem to have some kind of algorithm working correctly here, driving growth in some different segments within dental. I don't know if you guys will give this number, but just out of curiosity, if you will, what percent of your business is DSOs at this point, roughly speaking? Can maybe spend a minute or two on why they specifically are doing better and if that should be durable as we head into next year?
John Morici: Yes. Overall, Brandon, it's about in the 25% or so. It varies by country, as you know, but that's probably a good ballpark to be in.
Operator: Our next question comes from Steven Valiquette at Mizuhu Securities.
Steven Valiquette: So I guess from my side, I was just curious to hear more color around the evolution of the HFD patient financing partnership. Just curious if that help in any notable way to help get patients across the finish line in the third quarter? Or is that still maybe going to be just a bigger factor for the fourth quarter and into 2026, where that stands right now?
John Morici: Steve, this is John. Yes, I would say it's healthy, and we're seeing more and more doctors use it. You see it across some of the DSOs. They've taken advantage of that as well. But when patients are -- potential patients are deciding whether they want to go into treatment and it usually comes down to some type of pricing, what's the overall price? And then in all cases, it gets down to how much is it per month if I don't pay it outright. So HFD becomes more critical with that. We like the partnership that we're seeing and more and more doctors are using it. So I would say it's playing out how we wanted it to in the third quarter, and I would expect that we'd see more of that in Q4 and beyond.
Operator: Our next question comes from Jason Bednar at Piper Sandler.
Jason Bednar: I wanted to start on the China market. It sounds like a pretty good third quarter you had there. Just wondering, any updated perspective on the competitive landscape and anticipated VBP in that market as well as how or whether you plan to adjust your go-to-market and pricing strategy in light of VBP.
Joseph Hogan: Jason, I mean, we're aware of what's going on from the VBP standpoint. It's still not clear exactly what provinces at all will be included in that and exactly when it will be implemented. But we're positioning ourselves because we know, ultimately, that's probably going to happen one way or another. But I don't have any new news to report versus what we had in the second quarter.
Jason Bednar: Okay. And Joe, when you say you're positioning yourself, maybe what exactly do you mean by that? And then I'll just ask my follow-up now. I wanted to drill down on the topic du jour here that U.S. retail commentary you're giving. The DSOs doing well. They're up strong double digits. Sure, they're more sophisticated. But it's also evidence this isn't necessarily just a consumer spending problem in the U.S. So I guess I'm wondering out loud if it's not an economic or consumer spending problem and maybe the business that you're -- that's more sensitive here is some maybe lower volume, maybe lower ROI business for you in accounts that have more economic incentive to switch or convert to a cheaper alternative. I guess, how much effort do you put behind defending that business, especially at a time when you're really committed to delivering on margin expansion targets next year?
Joseph Hogan: Yes. I guess the first part of your second question was about China again. Remember, there are a lot of Tier 3 and Tier 4 cities. So we did have to make sure that our portfolio is structured properly to be able to get at those types of patients because primarily, we've been structured around private patients in the larger areas of China. Overall, when you say defending things, I think -- I'd like to think that we expand markets with our new technology and what we do. And I mean, obviously, we have to defend certain territories in certain areas. But I look at this market as a market that we can expand. And obviously, we've had a difficult second quarter and whatever. And -- but as we continue to develop technology, remember, 75% of the people out there still have a malocclusion and there's a lot that we can address by this overall. So part of this is not just playing defense, it's playing offense to help to grow that marketplace. And so that's not just in the United States or different parts of North America. That's all over the world. And you can see that strength in the business as we reported in the third quarter.
John Morici: And I would say just to close on your DSO comment, I think that some DSOs are doing a really good job. They're recognizing what's happening in the marketplace. And they're seeing that maybe consumers that they're out, maybe they're coming in for a cleaning. What do those DSOs do? They're scanning most patients. They're giving them a lot of visualization kind of before and after. Many of them are competitive from a price standpoint, an overall price standpoint, and almost all of them are doing external -- internal and external financing like an HFD. So they're really working. It's not to say everybody is on the same page and some retail doctors are doing this as well, but DSOs kind of en masse are taking that digital orthodontic approach and then being very patient sensitive in terms of how do they get that patient into treatment. And that's just a great example of the market opportunities that's there, but doing it in a way that really tries to get those potential patients excited about treatment.
Operator: Our next question comes from Vik Chopra at Wells Fargo.
Vikramjeet Chopra: I just want to confirm that you're still confident in your 5% to 15% growth targets that you laid out in your LRP. And if so, is mid-single-digit top line growth on the table for next year?
Joseph Hogan: Vik, we're sticking with our 5% to 15% plan for the future. That hasn't changed, and we really believe the business can do it.
Operator: Our next question comes from Michael Ryskin at Bank of America.
Michael Ryskin: I'll just ask one. You called out some of the geographic mix shift in terms of how that impacted ASP as you went through the year between Americas and China and EMEA. You also had an FX tailwind that I think, I mean, actually started as a headwind in 1Q, kind of was essentially neutral in 2Q, and it became more of a tailwind in 3Q. And then I look at the sort of like list of reported ASPs, it's been relatively consistent in the $1,240, $1,250 range. So if you adjust for some of that FX becoming more and more favorable as we go through the year, there is -- it does look like the underlying ASPs are a little bit weaker. Is that purely just attributed to the geo mix and maybe product mix? Or is there anything else going on there you can point to?
John Morici: Yes, Michael, this is John. So when you look at a like-for-like on, say, Europe or like-for-like within the U.S., actually ASPs are up on a quarter-over-quarter basis. We just have as such -- we're very pleased with the volumes that we saw in some of these emerging markets, like China and so on for us. It's just that the ASP is lower. And that's the effect that we saw. So despite the FX and everything else, it's that country mix that drives that ASP lower. Had we not -- if you took China out, our ASPs would have been up significantly or pretty well from Q2 to Q3. It's just that you've got that country mix piece of it that comes in. And then you see the converse of that in Q4, where you have less China in Q4, more Europe, as an example, there's just a difference in ASP and you will see an ASP improvement as we go from 3Q to 4Q.
Operator: Our last question comes from Erin Wright at Morgan Stanley. Erin, your line is open.
Joseph Hogan: Erin, sorry, we can't hear anything.
Shirley Stacy: Yes, happy to circle back.
Operator: He has left.
Shirley Stacy: Okay. Thank you, operator. I think we'll go ahead and close off the conference call. So thank you, everyone, for joining us today. We appreciate it and look forward to the opportunity to meet with you at upcoming investor conferences and industry events. If you have any follow-up questions, please contact Align Investor Relations. And I hope you have a great day. Thanks.
Operator: Thank you. This concludes today's conference, and you may now disconnect your lines at this time. Thank you for your participation.